Operator: Good morning, and welcome to the Broadwind Energy Second Quarter 2018 Earnings Conference Call. All participants will be in listen-only. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Joni Konstantelos, Director of Investor Relations. Please go ahead.
Joni Konstantelos: Thank you, Steven. Good morning, and welcome to Broadwind Energy second quarter 2018 earnings conference call. With me today are Broadwind President and CEO, Stephanie Kushner; and Broadwind Chief Operating Officer and President of Broadwind Towers, Eric Blashford; and Broadwind Vice President and CFO, Jason Bonfigt. This morning's earnings new release is available on our website at bwen.com. Before we begin today, I would like to caution you that this call will include some forward-looking statements regarding our plans and market outlook and also will reference some non-GAAP financial measures. Actual results may differ materially from these forward-looking statements. Please refer to our SEC filings and consider the incorporated risks and uncertainties disclosed there, including our Form 10-Q and Form 8-K and the attached news release filed with the SEC this morning. We assume no obligation to update any forward-looking statements or information. Having said that, I will turn the call over to the Stephanie Kushner.
Stephanie Kushner: Thank you, Joni, and good morning. We made good progress in Q2, as we indicated in our guidance last quarter our revenue rose sequentially more than 20% to $37 million and we generated positive EBITDA of $2.1 million, including the benefit for movers in the earn out reserve for Red Wolf. We've turned the corner, we are once again generating cash. Outside of gas turbines our core end markets remain strong, wind installations are growing and both oil and gas and mining equipment demand are strong. Tariffs and trade policies are challenging, we're seeing sharp increases in domestic steel prices and we're working hard to avoid being squeezed between our customers and our suppliers. I'm very excited about our progress with customer diversification. We're on track with our target of $40 million in orders from new customers this year and the sales activity is accelerating. I'm expecting that we will meet or exceed our full year target. Our liquidity situation is firmed. Our line of credit balance was unchanged during the quarter and we were in compliance with all debt covenants. Following quarter end the $2.6 million new market tax credit loan was forgiven and we will recognize a gain on that in Q3. On the next slide in the first half we booked $47 million of new orders, down 19% from last year which started out with very strong tower demand. Although we're down comparatively at the half year point the comparisons in the second half of the year will be much easier and I believe we will end 2018 showing some encouraging full year growth. Gearing orders moderated during the second quarter after customers rushed bookings in Q1 to secure 2018 production slot. Third quarter has started off strong and we are now building our order book for 2019. The book-to-bill for gears for the first half was a healthy 120%. Process systems orders were essentially flat as we continue to experience weak demand for new gas turbine components in line with our largest customer. But we have seen offsetting growth in orders to support oil and gas production and mining. Our total backlog remains strong at $118 million, of which $68 million is scheduled for delivery this year. On the next slide, as shown on the left progress has been consistent against our customer diversification target. Included in the $20 million of diverse customer bookings in the first half were orders from Cat [ph] for both mining and construction fabrication plus heat treating for gears. Similarly we are receiving orders from Komatsu of both heavy fab and for production and aftermarket gearing. Additionally, we are growing our business with NOB for both fabricated vessels produced down in Abilene and for gears and gearboxes made in Cicero. We are excited to expand these commercial relationships, particularly when they extend across multiple Broadwind business units. We added 14 new customers in the quarter, several of which have multi-million dollar revenue potential. On the right hand side chart you can see that orders outside of wind customers have steadily increased to an annualized booking rate of about $65 million on a trailing 12 month basis. We've booked a strong and diverse manufacturing capability and have reduced our reliance on a narrow set of wind tower customers. Not only are we diversifying our customer base we are diversifying our industry concentration as well. Having said that, the fundamentals of the U.S. wind market remains strong, the development pipeline for new wind installations grew again in the second quarter and is now in excess of 38 gigawatts. As shown on the right the expectation is for new wind farm installations in 2018 to exceed 8 gigawatts with a rise to 11 gigawatts or more in the following two years. Given the outlook for 2021 has been revised upward to more than 7 gigawatts. Now I'm not showing updated outlooks for gears and gas turbines on this call because the forecasts are essentially unchanged from our last update. U.S. gearing demand is up close to 10% in total this year with a 20% or more increase in the demand for gears in the oil and gas market. And gas turbines, which drive demand from Red Wolf are still expected to remain at a relatively weak 30 gigawatt level for total global demand. Turning to the next slide. As I said, steel tariffs are a definite headwind for us, particularly for wind towers. Shown on the left is the comparison between Chinese and domestic prices for steel plate. The gap has not improved since our last update call with U.S. steel priced $350 or more per ton above the price of Chinese steel. Given usage of nearly 200 tons of steel in a single tower, this equates to about a $70,000 cost disadvantage for a domestic tower producer. We've historically faced a differential closer to $150 to $250 a ton, which could be largely offset by the cost differential of transporting towers from Asia. But this wider gap represents a challenge for maintaining competitiveness against Asian tower manufacturers, who can use Chinese steel. While, we are protected on towers we are manufacturing today and as pre ordered steel for the next couple of quarters pricing pressure will increase if the tax situation is not resolved or ameliorated in the next couple of months. The pie chart on the right shows where the steel imports into the U.S. came from in 2017. This is Department of Commerce data. As you can see NAFTA countries, Canada and Mexico represented the largest source of imported steel. We're encouraged to see that trade tensions with Western Europe maybe deescalating, as they also represent a significant source of import. And both Brazil and South Korea have avoided tariffs by agreeing to export tax. China itself represented a very small source of imported steel into the U.S. However, low cost Chinese steel finds its way into towers and other products fabricated in a number of other countries, which can put us at a competitive cost disadvantage. We are working this issue very actively. Outside of wind towers, our primary focus has been on making sure our coding and pricing is accurate and that our material purchases are timely, so that we don't inadvertently need to absorb inflation in our material procurement. I think, in general, our management has done a very good job on this. Turning to the next slide, our priorities are unchanged for the rest of the year. We are continuing to build momentum with customer diversification. For example, we recently won some fabrication and painting work to support the build of large mobile data centers, in-house sophisticated computing hardware. This could build into a significant and very diverse product line. We're making progress with the final stages of our manufacturing footprint reduction. We're under contract to sell 150,000 square foot gearing plan that we idled several years ago and where we have recently completed environmental remediation. And with the new market tax credit loan extinguished, we can accelerate our exit from a surplus 80,000 square foot plant in Abilene, Texas. Our systems work continues, we want to be sure are quoting, scheduling and inventory control processes are robust and support the scale up and added complexity of our growing heavy fabrications and custom gearbox product lines. We're focusing our continuous improvement efforts in gearing and towers, where we want to improve efficiencies and cost in order to expand margins. And we continue to manage through the complicated and volatile raw material pricing environment. So now I'll turn the call over to Eric Blashford, our COO to talk more about our businesses.
Eric Blashford: Thanks Stephanie and good morning. Orders for the quarter were $9.5 million, a 21% improvement over Q1 and substantially above and unusually low Q2 2017. The order improvement is encouraging, because it comes from both our wind tower and heavy fabrications product lines. Our heavy fabrication business, which operates in mining, construction and other industrial markets utilize a similar manufacturing processes and competencies as those used in our towers business. Our opportunities within the market served continue to expand. We are considering strategic investments to support further growth and diversification. We sold 201 tower sections during the quarter, up 41% sequentially from 143 sections sold in Q1, but down 24% from 264 sold in the prior year. As a result Q2 sales were $24 million versus $16.8 million in Q1 and EBITDA was $2.2 million, which was a $2.3 million improved sequential improvement after a near breakeven Q1. Our 2018 priorities remain consistent with the previous call. As we've discussed, the pricing pressure resulting from the PTC exploration and new PPA continues. We continue to have resources focused on offsetting this pressure, through process improvements, and our teams made nice progress in Q2. We have discipline systems by which we introduce new tower designs into our plant to shorten manufacturing learning curve and optimized productivity on smaller tower runs as required. So far in 2018, we've produced four different tower designs meeting all customer quality and delivery requirements. We're excited about the fabrication business and are focus on driven profitable growth and improving our capabilities. Efforts include improving our scheduling system to optimize and expand our throughput to accommodate the growing demand. A large horizontal machining center, which went online in Q1 has generated the expected market interest and is performing well. The combination of this machine, which is the largest of its kind in the region, led by a high capacity, high hawk-eye train system, supported by a highly skilled and committed workforce with on-site deepwater port access makes Broadwind uniquely attractive to customers seeking precise fabrication of large and heavy weldment, such as those which go on trains, mining equipment, construction equipment, marine equipment and other industrial applications. In the third quarter we expect revenues to be in the $20 million, $21 million range, reflecting a lower demand for tower section production with an EBITDA of $1 million to $1.5 million. Next slide please, for gearing, first half 2018 orders exceeded first half 2017 by 13%. Oil and gas markets remained strong and we're also excited about recent order growth from our mining segment customers. As you can see on the graph that highlights our revenue by market Q2 oil and gas revenue was at the $5 million quarterly pace. Continuing the sharp growth since 2016 and remaining at the highest level since 2014. The serial nature of production in this segment affords us greater opportunity to refine the production process and leverage continuous improvement efforts over longer production run. We remain focused on further diversification and expansion into other markets, but notable increases in mining and other industrial as mentioned earlier. Our order book remains robust in the frac gear product area, but we're also seeing encouraging signs of improved demand in the drilling segment. Q2 revenue was up 41% as compared to the prior year quarter. We had breakeven EBITDA in Q2, which was below expectations. As the higher activity levels led unplanned manufacturing grant us, including some on legacy gear box built. We're seeing some improvement in our supply chain deliveries, but lead times for raw materials and outside services are extending with a strengthening market. We continue to work with our existing suppliers, while bringing on new ones to ensure a timely supply. During the quarter we made a number of changes in our organization structure to more clearly align resources and responsibilities with business needs. In Q2, we completed a substantial review of our product flow using detailed value stream maps [ph] and other lean concepts. We reviewed 22 unique processes, identified several areas of opportunity and have begun to address those. To exhibit this process we're augmenting Brad Foote specific CI resources with support from other divisions. To respond to increasing gear box demand and to further our diversification efforts on June 15th, we announced the formation of the Brad Foote custom gear box division. Brad Foote has produced gearing and gear box systems for over 90 years. Our offering works directly with the customer to identify and optimize the product design and its manufacturability. The strategic shift better aligns our organization to focus our internal technical and design capabilities to help our customers produce more reliable and efficient gear boxes that lower the total cost of ownership. I'm excited about this organizational structured change and believe it will help expand our business into more proprietary offerings. We expect revenues in Q3 in the up modestly in the $9 million to $9.5 million range, with positive EBITDA, near 5% on a path to a more acceptable margin profile. Next slide please, process systems. Orders for the quarter were $3 million, down significantly from $4.4 million the prior year due to weaker demand for natural gas turbine part and oil and gas equipment. Orders for natural gas turbine parts did improve in June and continue at a stronger pace in early Q3. However, our expectations are moderated as our primary customer continues to indicate short-term market challenges. Revenue was within guidance at $4.1 million, but down sequentially due to lower part sales for natural gas turbines. Our EBITDA loss narrowed to $200,000. We continue to focus our resources in consolidating all Abilene manufacturing operations into our towers facility as we execute our plan to exit our Abilene fabrication and CNG facility in early Q4. This consolidation will improve both our production flow and our manufacturing cost structure. Red Wolf remains focused on leveraging our expertise in outsource solutions and services to diversify and grow into other high growth markets. We understand our unique capabilities and value proposition and are using this knowledge to more quickly identify and qualified sales opportunities. In Q3, we expect to be in the $4 million to $5 million revenue range with approximate breakeven EBITDA. I'll now turn it over to Jason for his comments.
Jason Bonfigt: Thanks, Eric. Consolidated sales were in-line with our guidance at $36.8 million in the current quarter, a $6.8 million sequential improvement over Q1 and following a challenging Q4 wind [ph] production at our tower plants were at historical lows. Q2 is the second consecutive quarter of sales growth, primarily driven by elevated demand from our primary tower customer. Gross margins improved to 6% from breakeven in our first quarter, due mostly to the volume recovery and productivity improvements in our tower business. Year-over-year gross margins were 290 basis points lower, driven primarily by 24% reduction in tower section sold and mix of tower production. Partially offsetting these factors were reduction of overheads and the continued attention on productivity. We're focused on further productivity improvements to remain competitive and help offset mix and pricing pressures in a challenging tower environment. Operating expenses were $8 million for the quarter versus the prior year of $4.4 million. And the current quarter includes a $5 million non-cash goodwill impairment associated with the Red Wolf acquisition. Partially offset by the release of a $1.1 million reserve for the final earn out estimated liability. Excluding these one-time items, we achieved a 6.5% reduction versus the prior quarter and our first quarter. Although gap requires testing of goodwill on an annual basis, we determine that the combination of the release of the earn out reserve and continued near-term weakness with our primary natural gas turbine customer warranted a reevaluation of the carrying value of Red Wolf. Red Wolf's primary customer has announced significant reductions in their order intake over the past year and well below the historical run rates in previous guidance, which we contemplated in our original valuation. The shorter term weakness coupled with at 19% embedded discount rate required us to impair 100% of the goodwill. Given that the earn out targets have not been met, we will have paid $16.5 million for the business that has generated $1.1 million EBITDA to-date helping it in a challenging environment. We continue to believe in the thesis of this investment as a diversification in the natural gas turbine market should provide value long-term. We generated $2.1 million EBITDA for the quarter in line with our guidance, which includes the release of the final Red Wolf earn out reserve a $1.1 million benefit. For Broadwind consolidated, our third quarter earnings outlook is similar with revenues projected at $34 million to $36 million and EBITDA of approximately $800,000 to $1 million. Next slide please. Our cash conversion cycle improved for the second consecutive quarter to 36 days from 48 days at year-end 2017. Managing working capital is a key priority throughout all layers of our organization. We have made significant progress managing DSO following a challenging Q4 where our customers delayed schedule payments into 2018, which then spiked our DSO to 70 days. The continued focus on DSO has led to a 26-day reduction since year-end or approximately $10 million of cash flow impacted associated with the reduction assuming DSO was held constant at our higher revenue levels. Our tower customers continue to provide deposits. Although with a shorter lead time relative to project start dates, which has increased our working capital requirements. We are placing an emphasis on receiving deposits from our gearing customers due to a number of factors including continued strength in our end markets, extending material lead times and volatility in material pricing. Lastly, we are enacting more stringent deposit requirements on custom gearbox orders in our gearbox division, which is often more working capital intense due to longer design and production cycles. Our inventory turns are improving, primarily driven by improved throughput in gearing and recovery of production levels in our tower plants. Operating working capital was flat quarter-over-quarter at $14.3 million and up modestly over year-end. The increase is generally attributable to increased tower production levels. Our operating capital cents per dollar of sales decreased for the second consecutive quarter from $0.12 to $0.10 and as indicated in the chart on the right within a comfortable range. As Stephanie mentioned earlier, following the steel tariffs announcements earlier this year, domestic steel prices have escalated, which has created a significant gap in price between domestic and Chinese supply. To bridge this gap we are planning to purchase steel at favorable terms early in the second half of 2018, which will increase our working capital requirements. Shifting to our balance sheet, our total debt was $21.3 million as of 6/30 and flat with Q1. Our debt balance includes $3.7 million of debt and capital leases, $3.2 million of forgivable loans, and our line of credit usage. Year-to-date, we've received $1.4 million of proceeds on new equipment financing. As previously communicated, in July the new market tax credit transaction matured and the debt was forgiven reducing our debt balance by $2.6 million. As a result of the debt forgiveness, we will record a non-cash $2.2 million gain in Q3, which is net of transaction expenses. More importantly the forgiveness of this debt removes restrictive covenants that allows us to consolidate activities in our Abilene facility and exit an underutilized facility at the end of this year. A facility with approximately $600,000 of annual operating cost. Our line of credit balance was flat sequentially at $14.5 million, which was accomplished by the effective management of our working capital during higher levels of production in our plants and prudent capital investment. We had an additional $10 million of availability under our $25 million credit line with CIBC. And as I mentioned earlier, we plan to opportunistically purchase steel at favorable prices in the second half, so we anticipate our working capital requirements to increase as well along with the usage under our line of credit. This morning we filed a perspective supplement including an aftermarket offering or ATM, which allows us to sell up to $10 million of our stock at prevailing market rates. We determine this to be a prudent action as the mechanism should provide us with additional flexibility and strengthen our balance sheet to opportunistically purchase steel earlier than usual with favorable terms or to support working capital requirements associated with growing our businesses. Our cash flow statement in our 10-Q that we filed before market open this morning states that we had $1.7 million of purchases of PBE, which is primarily the residual cash paid for 2017 CapEx projects; notably for the completion of our Abilene facility expansion and investments in our fabrication division to support its growth. Lastly, we do not have any significant capital investments scheduled for 2018 and are managing to a 1.5% to 2% of revenue run rate, which should be considered more of a maintenance CapEx rate for our businesses going forward. That concludes my remarks, and I'll turn the call back to the operator for the question-and-answer.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Chris Morgan with Macquarie. Please go ahead.
Angie Storozynski: Hi, this is actually Angie Storozynski from Macquarie.
Stephanie Kushner: Hi, Angie.
Angie Storozynski: Hi, how are you? So just a couple of questions, so just so I understand it in the past you guys rarely purchased steel right that was typically being provided by your customer. So this is a change in your approach here just to entice your customers to use you to actually manufacture towers. And also given that the price spike in U.S. steel has already happened how can you lock in attractive prices for steel, are you trying to source it from abroad?
Stephanie Kushner: So Angie, so the first part of your question, no we have in almost every instance we have been the ones buying the steel. We have maybe in our early days we had some cases where our customer was specifically supplying the steel, but we haven't done that for some time period. In terms of buying in advance, we're not sure exactly what model of tower that the steel that we've placed orders for is going into. But we know - but we will know in time to be able to utilize it. And then in terms of timing I think like most other manufacturers I think across the U.S. I think this is something is maybe not broadly, but most folks had steel material contracts in place for a certain amount of time. And I think for the most part those are starting to expire and that's probably why there's more noise in the market right now for companies like ourselves who are using - who are having to buy a lot of steel fabricated. But the steel we're buying is domestic steel in this case.
Angie Storozynski: So my second question on the gas turbines and equipment and maintenance, so I understand that there is some slowdown in new build activities for gas side plants, but how about maintenance of existing assets. It seems like gas plants are running more and as such there should be more of a need for either major maintenance, like seasonal maintenance is that not what you guys are dealing with as well?
Stephanie Kushner: I think that our customer was more focused on the kind of these big upgrades, and I think there is less activity in those. I think you're right about the kind of ongoing maintenance and we are - it's one of the areas where we're focused on kind of expanding our customer base to get into to the sell to the guys who are doing what I would call the more routine maintenance on the gas turbine. But that has not been a focus area for us in the past for our largest customer.
Angie Storozynski: Okay. And just going coming back I'm sorry to the other question about imported towers. So is there - I mean, do you have a sense what the price point is that when you incorporate transportation costs you would actually need to offer those towers at in order to encourage domestic construction of towers. I mean, would that allow you to actually earn the positive return from at least an EBITDA perspective. I mean, so even placing in that somewhat lower cost of steel that you have from long-term contracts is this enough to offset the all-in cost appeal of those imported towers?
Stephanie Kushner: It's not cut and drive. So it depends where the wind farm is going in. So the wind farm is very close to the coast for example and we have this $350 a ton price differential, it's much more challenging. So the further the wind farm is interior in the U.S. and frankly the closer it is to our plants the more that decision swings in our favor. So it's a dynamic situation a lot of it depends on the location, probably the other thing that matters too it is the cost of transport from overseas, which also varies depending on fuel prices and ship loading. So, there are lots of variables, but we are trying to work it to convert those variables in our favor. As we reasonably can.
Angie Storozynski: And the last question, I probably should know it myself, but what is the lead time, for instance if I have wind farms with starting commercial operations at the end of 2019 when would they procure towers.
Eric Blashford: Angie, this is Eric Blash, that depends, but it can be up to six months in advance, it can be as narrow as may be four months in advance 20-25 weeks and a lot of that has to do with material lead times.
Angie Storozynski: Okay, great, Thank you.
Eric Blashford: Thanks.
Operator: [Operator Instructions] And showing no further questions, this concludes our question-and-answer session. I'd like to turn the conference back over to Stephanie Kushner for any closing remarks.
Stephanie Kushner: Thanks very much for letting us update us on our progress and for your interest. And we look forward to speaking to you again next quarter. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.